Operator: Good day, ladies and gentlemen, and welcome to the John B. Sanfilippo & Son, Inc. First Quarter Fiscal 2014 Operating Results Conference Call. My name is Denise, and I'll be your operator for today. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Mike Valentine, Chief Financial Officer. Please proceed.
Michael J. Valentine: Thank you, Denise. Good morning, everyone, and welcome to our 2014 first quarter earnings conference call. We certainly appreciate you participating today. On the call with me is Jeffrey Sanfilippo, our Chief Executive Officer; and Jasper Sanfilippo, Jr., our Chief Operating Officer. Before we start, we want to remind everyone that we may make some forward-looking statements today. These statements are based on our current expectations, and they involve certain risks and uncertainties. The factors that could negatively impact results are explained in the various SEC filings that we've made, including on Forms 10-K and 10-Q. We encourage you to refer to these filings to learn more about these risks and uncertainties that are inherent in our business. Starting with the financial recap. Net sales for the first quarter of fiscal 2014 decreased slightly to $176.7 million in comparison to net sales for the first quarter of fiscal 2013 of $177.5 million. The decrease in net sales was less than 1%. Sales volume, which is defined as pounds sold to customers, increased by 14%. The favorable impact on net sales from sales volume increase was offset by lower selling prices overall. Selling prices decreased mainly in pecan and peanut products in response to lower acquisition costs. Competitive pricing pressure at 2 of our major private brands snack nut customers also contributed to the overall decrease in selling prices. Sales volume increased in the contract packaging, commercial ingredients and consumer distribution channels. Sales volume increased for all major product types, except cashews and walnuts, both of which were relatively unchanged. The sales volume increase in contract packaging distribution channel came primarily from new product launches and increased promotional activity implemented by a major existing customer. The sales volume increase in the commercial ingredients distribution channel was due primarily to increases in sales of lower priced peanut products, such as peanut crushing stock, which was due to increased supply from a record peanut harvest; almond products as a result of distribution gains achieved by a major commercial ingredients customer; and pecan products due to the favorable impact on customer demand from lower selling prices. The sales volume increase in the consumer channel primarily came from increased sales of private brand trail mix, snack nut and peanut butter products. As a result of new distribution gains, Orchard Valley Harvest produce products also contributed to the sales volume increase. The increase in sales volume for these products was partially offset by a sales volume decrease in Fisher inshell peanut products due to reduced distribution at a major Fisher snack nut customer as a result of competitive pricing pressure. Fisher recipe nut sales volume declined marginally mainly due to reduced merchandising activity at a major Fisher recipe nut customer that was not provided to us this current first quarter. The first quarter of fiscal 2014 saw gross profit decrease by $1.2 million and gross profit margin decrease to 16.6% of net sales from 17.2% of net sales for the first quarter of fiscal 2013. The decrease in gross profit and gross profit margin occurred primarily because of reduced selling prices to 2 of our major private brand customers, again due to competitive pricing pressure. The decreases in gross profit and gross profit margin were offset in part by manufacturing efficiency improvements achieved during the quarter and also because of the increase in overall sales volume. The increase in sales volume did not fully offset the reduction in gross profit and gross profit margins because the sales volume increase was generated mainly by increases in sales of lower priced products. First quarter 2014 total operating expenses increased by $300,000 to $17 million in comparison to $16.7 million for the first quarter of last year. As a percentage of net sales, first quarter 2014 total operating expenses increased to 9.6% from 9.4% from last year's first quarter. The increase in total operating expenses in the quarterly comparison occurred because total operating expenses in the first quarter of last year included a $600,000 gain on sales of assets, which did not recur in the current first quarter. Interest expense in the current first quarter declined by $200,000 compared to interest expense last year. The reduction in interest expense was due to a reduction in total debt. Total debt fell by almost 20% since the end of the first quarter of fiscal 2013. The total value of inventories on hand at the end of the current first quarter increased by $23.4 million or a little more than 17% compared to the total value of inventories on hand at the end of last year's first quarter. The increase in total value of inventories was attributable primarily to increased quantities of raw nut input stocks and also increased in quantities of finished goods, which were -- are intended to support our increasing sales volume. The weighted average cost per pound of raw input stocks at hand at the end of the first quarter of fiscal 2014 decreased by 15% over the weighted average cost at the end of fiscal -- or at the end of the first quarter of fiscal 2013. The decrease in the weighted average cost per pound in the quarterly comparison was mainly attributable to lower acquisition costs for peanuts and pecans, which were offset in part by higher acquisition costs for almonds. Net income was $6.8 million or $0.62 per share basic and $0.61 per share diluted for the first quarter of fiscal 2014 compared to $7.5 million or $0.70 per common share basic or $0.69 per common share diluted for the first quarter of fiscal 2014. Approximately 50% of the decrease in net income was attributable to the fact that there was a pretax gain of $600,000 on the sale of assets on last year's first quarter that, again, did not recur in the current year's first quarter. At this time, I will now turn the call over to Jeffrey Sanfilippo, our CEO, to provide additional comments on our operating results for the first quarter of fiscal 2014. Jeff?
Jeffrey T. Sanfilippo: Thank you, Mike. Good morning, everyone. Last fiscal year at this time, we reported record first quarter net sales and net income. It was a strong way to start fiscal 2013 and a proud moment for the company. And now a year later, we nearly matched those record levels again, especially after factoring out the unfavorable impact on net income from sales of assets in the quarterly comparison. As Mike just mentioned, we also faced significantly lower peanut selling prices compared to prices in last year's first quarter and competitive pricing pressure with some of our major customers. These factors impacted our net sales and gross profit in the first quarter. Our management team recognized these challenges early on and responded with action plans. Our operations teams achieved meaningful efficiency improvements through their focus on lean manufacturing efforts, and our sales leaders gained new volume in our commercial ingredient and contract manufacturing distribution channels, as well as our consumer channel with existing customers. Although our net sales of $176.7 million for Q1 are down 0.5% from the prior year due to these lower selling prices, it is important to note that significant increase in volume, measured as pounds sold, as Mike mentioned, to customers, of 7 million pounds or a 14% increase in Q1 of 2014 compared to last year. During the fourth quarter of fiscal 2013, we updated our strategic plan, the goal of which is to drive profitable growth, and we continue to execute our strategies during the first quarter of fiscal 2014. Our long-term goals include growing Fisher and Orchard Valley Harvest into leading nut brands by focusing on consumers demanding quality nuts in the snacking, recipe and produce categories; expanding globally and building our company into a leading premium international snack nut company; and create value with key customers in each distribution channel. Orchard Valley Harvest sales volume and sales dollars have both seen meaningful increases during the first quarter of fiscal 2014. We continue to develop our Fisher brand business in China by improving our distributor network and progressing in the establishment of a legal structure to support our long-term business strategy there. And our research and development and consumer insights teams are working closely with key customers to develop and launch new value-added innovative products. Turning to sales review by business channel. First, consumer. Net sales in the consumer distribution channel decreased by 10.3% in dollars, but increased 1.6% in sales volume. Private brand consumer sales volume increased by 5.2% due primarily to increased sales of trail mix, snack products and peanut butter products. Increased sales of our Orchard Valley Harvest produce products also contributed to the sales volume increase. Fisher brand sales volume decreased by 11.2% in the first quarter of fiscal 2014 compared to first quarter of fiscal 2013 due primarily to reduced distribution of inshell peanut products at a major customer due to competitive pricing pressure. In addition, sales of our Fisher products to the military were negatively impacted by short-term closures of the commissaries due to the government shutdown we faced the past several months. Lastly we experienced pressure from several of our key retail partners to reduce stock inventory levels going into the holiday season, which also negatively impacted our Fisher brand shipments in the quarter. Commercial ingredient channel. Net sales increased by 15.3% in dollars and increased 28.8% in sales volume in the first quarter of fiscal 2014 compared to the first quarter of fiscal 2013. The sales volume increase was due primarily to increased sales of lower priced products, such as peanut crushing stock, as Mike mentioned; almond products as a result of distribution gains achieved by a major existing customer; and pecan products due to the favorable impact on customer demand from lower selling prices. We have begun to see renewed interest in pecan applications for innovative new products, and our company worked with a major restaurant chain this year, which just launched a new dessert item using our praline pecans. International channel. Net sales in the export distribution channel decreased by 15% in dollars and 13.9% in sales volume. Sales volume and sales dollars for the quarterly comparison declined primarily because of decreased sales of private brand products and customer attrition in Latin America and some Asian markets. This softness was partially offset by sales growth with customers in China and in Europe. We recently created a geographic-centric sales structure and hired experienced business managers to lead our efforts in Europe, the Middle East, Africa and Asia. Contract packaging. Net sales increased by 26.2% in dollars and increased 47.2% in sales volume in the first quarter. The sales volume increase came primarily from several new product launches and increased promotional activity implemented by a major existing contract packaging customer. Now turning to category updates. All the market information is reported through ACNielsen data ending September 28, 2013, and when I refer to Q1, I'm referring to 13 weeks of the quarter ending September 28. We look at the category on Nielsen's new total U.S. definition, which includes food, drug, mass, Walmart, military and other outlets unless otherwise specified. When we discuss pricing, we are referring to average price per pound. The total nut category increased in both pound volume and sales dollars in Q1, up 2% and 3% respectively. Overall pricing increased 1% versus the prior year in the first quarter. Cashews, mixed nuts and pecans had the strongest results among nut types, increasing in both pound volume and sales dollars. Prices for all of these nut types decreased versus last year. However this was not the case for almonds. Almonds experienced the largest price increase for a nut type this quarter, 10% versus last year and declined 3% in volume. Almond prices remained firm in response to the California Agricultural Statistics Services' estimate for the 2013 crop of 1.85 billion pounds. The kernel sizes for all varieties are significantly smaller than normal, creating a short supply of the most popular sizes that are traditionally used in the domestic snack market. Looking ahead, there is growing concern about risk to the 2014 crop due to water shortages, which is causing additional upward pressure on prices. The early read is also for higher prices on walnuts and pecans for this upcoming crop year. On walnuts, deliveries of most varieties are coming in below last year. At the same time, export shipments grew 19% for the 2012 crop year, and it started the 2013 crop year at an even higher pace. We are seeing field prices for inshell walnuts by Chinese and Turkish buyers that are 10% to 15% higher than this time last year, and total supply, we believe, is not sufficient to support additional export growth. On pecans, persistent rain during the spring and summer has caused significant crop loss according to reports from growers in the Southeast. At the same time, demand is up. Domestic consumption has rebounded as industrial users converted recipes for more expensive walnut pieces to pecan pieces. 2012 crop shipments to China were at a record volume, and there's no indication that demand is subsiding. Fisher Recipe continues to gain momentum behind the strategy of growing distribution, increasing merchandising activity and building equity. Our Fisher recipe nut pound volume and sales dollars, as measured by Nielsen, increased in Q1 versus last year 15% and 11% respectively. The growth was driven by a 15% increase in total points of distribution and an increase in promotional activity heading into the key season for recipe nuts. The Fisher brand continued its sponsorship of the Food Network and celebrity chef Alex Guarnaschelli, which was launched last year. The program includes programming that will largely hit our -- in our second quarter, such as branded vignettes on the Food Network, print advertising in Food Network Magazine and other publications, as well as a fully integrated social media effort. The Fisher snack business decreased pound share by 0.1%, and dollar share was flat for Q1 versus last year. The share results are mainly due to nonrecurring promotional activity last year at key retail partners. However base business, which is a better indicator of brand health, increased 4.4% versus last year. Our Orchard Valley Harvest brand increased 24% in dollars sales and 5% in pound sales, driven by key distribution wins on the grab-and-go items. Early results on this new line are positive as it appeals to the grab-and-go nature of the health-conscious consumer in the produce section of the store. Varieties include almonds, cashews and mixes. In closing, I'm proud of our results in the first quarter of fiscal 2014. Our management team is executing our strategic growth plans, and we are focused on reducing cost through our operations and supply chain. We face a number of challenges in the future. Specific challenges, among others, include high tree nut commodity costs, including as a result of continued high demand for pecans and walnuts in China. And we anticipate intensified competition for market share from both private brand and name-branded nut products. But we will continue to focus on seeking profitable business opportunities to further utilize our additional production capacity at our Elgin site. We expect to maintain our recent level of promotional and advertising activity of our Fisher and Orchard Valley Harvest brands and to develop new products for all our channels. We have seen recent domestic sales and volume growth in our Orchard Valley Harvest brand and expect to continue to focus on this portion of our business. We believe that our efforts to grow our Fisher brand will be aided by the low acquisition costs of peanuts from the 2012 crop and consistent commodity prices for cash used in fiscal 2014. We do, however, anticipate, as I mentioned, upward pressure on costs for almonds, walnuts and pecans, and our company is prepared to align our selling prices accordingly. Our channel and product diversification provides us with opportunities to navigate through these changes in commodity costs to continue to create value for our customers and our shareholders. We appreciate your participation in the call, and thank you for your interest in our company. I will now turn the call back over to Mike.
Michael J. Valentine: Thanks, Jeff. At this time, we will open the call to questions. Denise, would you be kind enough to queue up the first question.
Operator: [Operator Instructions] Our first question comes from Jeff Geygan with Milwaukee Private Wealth Management.
Jeffrey Richart Geygan - Milwaukee Private Wealth Management, Inc.: Couple questions. You allude manufacturing efficiencies achieved during the quarter, and I'm curious, is that a transitory or a permanent situation. And if it's permanent, can you quantify how that impacts margin?
Jasper B. Sanfilippo: Sure, Jeff. This is Jasper. The manufacturing savings that we've been able to accomplish were really related to efficiency improvements and headcount reduction. We believe that they are permanent as we made recurring changes to the lines as well as put some systems in place to make sure that those were sustainable. As it relates to the savings, we really can't disclose what those savings are nor how they would impact our gross margins.
Michael J. Valentine: Yes. And Jeff, this is Mike. I would also add that we had a significant increase in production volume in the first quarter compared to the prior year, so that also is driving some of our efficiency gains. So it's a little bit difficult to quantify how much volume had an impact versus our lean manufacturing efforts.
Jeffrey Richart Geygan - Milwaukee Private Wealth Management, Inc.: I got it. But so some of that may be spreading of overhead. But other -- are there other savings that are real and will accrue favorably in the future?
Michael J. Valentine: That's right, yes. We -- you may recall, we started our lean manufacturing efforts back in -- early in our fourth quarter of last year. That's still a work in process, but we're committed to it. We engaged consultants to help us back then, and we're trying to impose a lean culture throughout our whole organization. So we expect not only will we have savings in manufacturing but also in the back office, too, as that continues.
Jeffrey Richart Geygan - Milwaukee Private Wealth Management, Inc.: Appreciate it, Mike. And one more question for you, as it relates to your inventory, can you provide a little more color in terms of how you end up with this excess inventory? And please, if you can, Walmart and Target are looking, to me, like they're trying to reduce their own inventories. Is this -- how does that impact you?
Michael J. Valentine: The -- first of all, the finished goods increase was scheduled more along the lines of what occurred last year in terms of when shipping started to most of our customers as we entered busy season. Those goods will ship this quarter as opposed to in the first quarter, so it will flush out anyway. And if your concern is that we might get stuck with excess inventories, that won't be the case.
Jasper B. Sanfilippo: And I would add, Jeff, that if you look at some of our positions, pecans as an example, knowing that we're coming into what we anticipate a higher cost for pecans, the new crop, we strategically made a decision to have some carryover going into this coming year.
Jeffrey Richart Geygan - Milwaukee Private Wealth Management, Inc.: Appreciate it. And last question, Jeff, this might be for you. Strategically speaking, you're developing your OVH and Fisher brand. At what point do we see either an improvement in margin as a result of that and/or a situation where we don't seem to get caught in this lower purchase price equals lower selling price equals lesser margin, either absolute or relative?
Jeffrey T. Sanfilippo: Well, a lot of that -- as far as the selling price at retail, a lot of that will depend on what our competitors do, both private brand and the national competitors. We continue to invest in the brand. We believe we've got the right pricing positioning in the categories that we participate in, so it's really a matter of getting -- gaining market share, investing in the brand. You're always going to see competitive pressures from both private brand and national competitors. At the same time, we don't manage what the retailers, in some cases, sell our products for so that puts some pressure as well on us. But I mean, overall, some of the pricing pressure we saw really impacted more distribution than it did actual prices on the shelf.
Operator: At this time, we have no further questions. Please proceed.
Michael J. Valentine: Okay. Denise, thank you. Again, thank you, everyone, for your interest in JBSS, and this concludes the call for our first quarter of fiscal 2014.